Executives:  Michael Weitz – SVP, IR
– : George Barrios – CFO
Analysts:  Jamie Clements – Sidoti & Co.  Michael Kupinski – Noble Financial Robert Ralph – Savings Partners Brad Safalow – PAA Research 
Operator:  My name is John and I will be your operator for today’s call. (Operator Instructions). I will now turn the call over to Michael Weitz, SVP of Investor Relations. Mr. Weitz, you may begin. 
Michael Weitz:  Thank you and good morning everyone. Welcome to WWE’s first quarter 2012 earnings call. Joining me for today’s discussion are Vince McMahon, our Chairman and CEO, and George Barrios, our CFO. We issued our earnings release earlier this morning, and as is our usual practice have posted the release, our earnings presentation and other supporting materials on our website, corporate.wwe.com. These materials can be referenced in conjunction with the discussion today, to clarify our performance and to shed light on the trends in our business.  In our discussion today, we will make several forward-looking statements. These statements are based on management estimates. Actual results may differ due to numerous factors, as described in our presentation and in our filings with the SEC. For any non-GAAP measures discussed on this call, reconciliations to GAAP measures can be found in our earnings release and in our website presentation. Today we’ll review our financial results for the first quarter, and we’ll follow this with a Q&A session. At this time, it’s my privilege to turn the call over to Vince. 
Vince McMahon:  Good morning everyone. As you will note, in terms of EBITDA, we’re above last year by 19%, some 20 million, which looks really, really good. However, it’s not as rosy as it appears, and George will make reference to all of that in a little bit more depth shortly. Nonetheless, our key metrics look pretty good as well, by the way I’d define them, would be television ratings and live events. If people are watching our product, then it’s up to us to drive them into areas where we can achieve significant growth as far as revenue is concerned, so television ratings are important in addition to the live events where it’s the most expensive form of enjoying our product, which has always been a barometer for me.  As far as live events are concerned, we’ve increased our profits by a million bucks. Some of this by the way comes from expansion of our international platforms into Abu Dhabi, which is part of the Arab Emirates. We had our first event there, did extremely well. We’re scheduled to go back in about six months. Not in this quarter, but likewise we’re expanding, we just had our first event in Russia, in Moscow, which was very profitable as well. So we continue to expand in our international markets, and everyone looks pretty good.  And by the way, since we’re talking about live events, again not in this quarter, but we’ll break the record as far as revenues and pay-per-view buys for Wrestlemania. In addition to that, getting back to the television ratings, as far as Raw and Smackdown are concerned, they continue to be the number one, number two actually in this quarter in terms of Raw in the U.S.A. Number one is Smackdown on Syfy. So again, television ratings are holding up very well, and our social media presence is extraordinary. With 62 million Facebook friends and growing exponentially, our Twitter followers, every form of social media we’re beginning to permeate in so many different ways, and we see that as a way of extraordinary growth of interest in our overall brand in so many different ways. So, the permutation of social media is something we’ve begun. People think that somewhat we’re on the cutting edge of all that, and doing it better than anyone else, I suppose we are, but we’re only going to scratch the surface as to where we are right now. We have our own channel, as it were, on YouTube, which is doing extremely well, things along those lines.  So as I mentioned in the international growth, we just had our first event in Russia, which will be related to the next quarter. We’ve also expanded our footprint as far as exposure is concerned in China, with the upcoming event that we have scheduled over there as well. As far as some of the other aspects of what makes this look pretty good in terms of the 19% above last year, home entertainment sales is up, which is a bit of a surprise, but again George will speak to that. As far as the movie business is concerned, under the old movie business model, we have reduced losses in terms of lower impairments, that’s under the old films business model.  And then, we are continuing to develop our network launch of WWE Television Network in many, many different ways, hiring key hires. As far as content development is concerned, implementation and critical systems, our negotiations continue, so that’s moving along quite well, actually. So that’s, other than that, (inaudible) a new film model, which is something near and dear to everybody’s heart. Nonetheless, we have entered in with new partners, and with Fox, and again emphasizing the word partners, Fox Landscape, IM Global, studios such as those, and we think we have a great slate with a reduced amount of investment, but we’re going to get more in terms of return, maybe more than we even had budgeted for from my standpoint. So that’s about it for my generalities, and George let’s take it to you.
George Barrios:  Thanks, Vince. I’d like to start by providing you with some additional perspective on our first quarter results. For the quarter, we reported a 21% increase in our operating income, to $16 million. All of our business units delivered increased profits on a year-over-year basis. Selected operating highlights for the quarter include the successful entry of our live event into an important Middle East market, improved home entertainment sales and the implementation of a new licensing agreement with YouTube.  While some of our key attendance and pay-per-view metrics showed modest declines in the quarter, we are encouraged by our efforts to build consumer demand. This is evidenced by the achievement of record revenue and profits from our recent Wrestlemania event, the strong positioning of our television programs and by the explosive growth of our social media presence. For the quarter, changes in foreign exchange rates had a negligible impact on revenue and profit. However, there were several other items, as cited in our earnings press release, that did impact the comparability of our results on a year-over-year basis. These included certain tax benefits, network-related operating costs and film impairments, predominantly in the prior year quarter. You should note that adjusting for these items, as outlined in the release, does not change the overarching headline of profit growth. On an adjusted basis, operating income increased 18% to $18.9 million.  To be clear about the trends in our business, I will add to the discussion of as-reported results where applicable by discussing our performance on an adjusted basis. For a more detailed review of our performance in the quarter, let’s turn to page five of our presentation, which lists the revenue and profit contributions by business unit as compared to the prior year quarter.  Starting with our live events, including merchandise sales at these events, revenue increased 13%, or $3.2 million, primarily due to the timing of fan access and the successful performance of our tour in Abu Dhabi. Our fan access events occurred in conjunction with Wrestlemania but fell in the first quarter. That event added $1.4 million of incremental ticket revenue to our North American live events.  For our other events in North America, a 6% increase in average ticket prices, to $38.50, was offset by the impact of four fewer events in the quarter and a 3% decline in average attendance, to 6,200 fans.  Internationally, our $1.3 million revenue growth was led by the strong performance of our tour in Abu Dhabi, which attracted more than 15,000 attendees to three events and realized an average ticket price of $147 per ticket. Reflecting the impact of that tour, average ticket prices at our international events increased 157% to $125.60. Average attendance at our international events, however, declined 60% to 3,400 attendees, due to the performance of our tour in Central America, which was staged in more economically-challenged areas of that region than in the prior year quarter. For these events, our international revenue included the effect of minimum guarantees, which we negotiate to protect our interest when traveling to territories with higher economic risk. These guarantees partially offset the impact of lower average attendance.  Turning to our pay-per-view business, revenue was essentially flat to the prior year, as a 3% increase in the average revenue per buy was offset by a comparable decline in current-year buys. The increase in average revenue per buy was attributable to higher retail prices charged for viewing our events in high definition. The decline in buys for the two events in the quarter was driven by an 8% decline in international buys, as domestic buys remained unchanged. Revenues from the distribution of our television programming increased by 3% to $32.5 million, reflecting additional rights fees and contractual increases inherent in our global TV distribution agreements. These factors more than offset the absence of rights fees from our WWE Superstars program.  In our consumer products segment, our licensing revenue increased slightly, as the recognition of minimum guarantees was offset by a decline in royalties earned from several product categories, including video games and toys. The decline in these categories was due to difficult trends in our international markets. Overall revenue from the sale of video games declined 11%, or $1.5 million, while revenue from the sale of toys declined 6%, or $.4 million. Shipments of our franchise video game, “WWE 12,” declined 25% to 2 million units, driven by a reduction in the number of platforms supported by the current release, which reflects broader industry challenges. Turning to home entertainment, revenue increased 14%, or $1.1 million, reflecting higher-than-anticipated sell-through rates for various prior period releases. The resulting increase in sales was partially offset by a 27% decline in the average effective price, to $9.26, and a 5% decrease in units shipped, to 830,000 units. The change in these drivers stems from ongoing discounts and promotional activity primarily related to our catalog titles. Shipments of our catalog titles declined 9% from the prior year quarter, and additionally there was one fewer title released in the current year quarter.  In our magazine publishing business, revenue decreased 36% to $1.4 million, reflecting lower newsstand sales in the current quarter. In our digital media segment, revenue increased 16%, or $1 million, to $7.1 million, led by increased rights fees and higher online advertising sales. The increase in rights fees was driven by the licensing of original content to YouTube. Content provided under this new agreement included original short-form programs with broad appeal, such as “Santino’s Foreign Exchange” and “Backstage Fallout.”  Sales and merchandise in our e-commerce website, WWE Shop, were essentially unchanged from the prior year quarter. An 18% increase in revenue per order, to $48.04, was offset by a 20% decline in sales volume to approximately 66,000 orders. A reduction in promotional activity and the absence of deep discounts contributed to the change in both average revenue per order and orders processed, as compared to the prior year quarter.  During the quarter, WWE Studios recognized revenue of revenue of $4.8 million, compared to $8.6 million in the prior year, primarily due to the relative performance and timing of releases from our movie portfolio. In the prior year quarter, we released “The Chaperone.” In the current year quarter, we released “Bending the Rules,” which in its initial three weeks of release, generated lower-than-anticipated home entertainment receipts. As a result, we revised our long-term ultimate projection for that movie and recorded an impairment charge of $.8 million, contributing to a loss for WWE Studios of $1 million in the current quarter. This result compared to a loss of $3.6 million in the prior quarter, associated with the $2.8 million impairment for our film “12 Rounds.” Given the non-cash nature of these charges, we have excluded them from our adjusted income and earnings.  Our overall profit contribution increased 17%, or $8 million, reflecting better results from across all of our business. Reduced losses from our movie business, higher-than-anticipated sell-through rates for prior period home entertainment releases and incremental rights fees for our online programming content contributed to the expansion in profit and overall profitability. Excluding the impact of film impairment, adjusted profit contribution increased 12% to $55 million, and adjusted gross profit margins increased to 45%, from 41% in the prior year quarter.  For the quarter, SG&A expenses increased 16% to $34.7 million, reflecting increased staffing costs, a $1.4 million increase in bad debt expense and, to a lesser extent, increased legal and professional fees. The rise in staffing costs was incurred primarily to support our content and distribution initiatives. Such network-related costs reached approximately $2.1 million in the current year quarter. Excluding the impact of these network expenses, adjusted SG&A expenses increased 9% from the prior year quarter.  Page nine of our presentation compares the quarter-over-quarter results and provides a summary of changes by business. As shown, operating income increased 21% to $16 million, driven by the expansion in profit across our businesses, partially offset by the aforementioned increase in SG&A expenses. Excluding the impact of both film impairment and network expenses, adjusted operating income increased 18% to $18.9 million. Net income increased 78% to $15.3 million, reflecting the increase in operating income and the reduction in our effective tax rate to 7%. The lower effective tax rate, compared to 37% in the prior year quarter, was attributable to $4.1 million of previously unrecognized tax benefits. That is, using former nomenclature, a relief of (inaudible) reserves. Excluding the impact of this benefit and the other items that benefited year-over-year comparability, adjusted net income, as referenced on page 11, increased 27% to $13.1 million.  Page 12 of the presentation contains our balance sheet, which remained strong. On March 31st, we held almost $176 million in cash and investments, with virtually no debt. Page 17 shows our free cash flow, and for the quarter we generated approximately $19 million in free cash flow, compared to about 25 million in the prior year quarter. The change was primarily due to an increase in capital expenditures. Capital expenditures increased approximately $6 million, as we invested in assets that support our emerging content distribution strategy, including a potential network.  We continue to believe that our content investments will yield significant returns under almost any distribution scenario. By carefully valuating our distribution alternatives, we can maximize our risk-adjusted returns. While developing this transformative opportunity, we expect that our 2012 earnings will be roughly in line with our 2011 results on an as-reported basis. This means within a range of +/- 10% from our 2011 earnings.  You should note that our forecast for the full year is essentially unchanged despite our first quarter earnings growth and the projected absence of film impairments, which reduced income in the fourth quarter last year by about $8 million, or $.11 per share. As both these items account for an approximate $15 million increase in net income, reaching flat year-over-year results implies tough year-over-year comparisons for the upcoming second and third quarter.  Our full-year forecast reflects several key components. First, initial start-up operating expense is now estimated at $10 million to $15 million, to expand our content and distribution option. Second, a material reduction in film impairment charges and film watches, which totaled 28 million in 2011. Third, a reset of our management incentive compensation, which was reduced by approximately $8 million in 2011. Fourth, lower video game revenue and profit, driven by the release of one less video game in 2012. Our video game, “WWE All-Stars,” was released in March 2011, but will not be refreshed in 2012. And finally, increased appreciation expense associated with our investment in network-related assets.  In terms of free cash flow, we expect that our full-year 2012 performance will be below 2011 results. This forecast anticipates investment of 15 to $25 million to produce our feature movie releases, and a revised estimate $35 million to $45 million to support the development and distribution of new programming content. This includes investments of five to $10 million to create new programming content, 15 to $20 million of capital expenditures for facilities and equipment and 10 to $15 million of operating expenses, as previously discussed, provides a broader infrastructure in personnel and systems to support this initiative.  Looking ahead, we believe that by focusing on our strategic growth initiatives, especially those related to our content and distribution goals, we can dramatically raise our earnings potential. As I described last quarter, our confidence in this outcome is anchored by two fundamental premises. In terms of social media, which we view as an important component of brand presence, our metrics have continued to deliver dramatic growth. Since year-end, we’ve managed a 40% increase in Facebook friends, to 67 million, and a 47% increase in Twitter followers, to 25 million. In the quarter, we had more than 340 million views of WWE videos on YouTube. Regardless of the metrics that are invoked, our social media statistics, our 12 million unique visitors to our website, or the top ratings of our television programs, the statistics all point to the same conclusion. They demonstrate that the WWE brands are among the strongest commercial brands worldwide. Second, the proliferation of distribution alternatives is driving up the value of the content, especially compelling content with broad appeal. Based on these two factors, we have tremendous confidence that we can take advantage of our developing opportunities. As evidenced by our recent agreement with YouTube, creating new content and distributing that content in traditional and emerging platforms, is a natural extension of our core competencies. By executing in these areas, our objective expectation is that we can drive unprecedented earnings growth.  That concludes this portion of our call, and I’ll turn it back to Michael. 
Michael Weitz:  Thank you, George. John, we’re ready. Can you please open the lines for questions.
Operator:  (Operator instructions). And our first question comes from Jamie Clements from Sidoti. Please go ahead. 
Jamie Clements – Sidoti & Co. : Gentlemen, good morning. 
Vince McMahon:  Good morning. 
Jamie Clements – Sidoti & Co. : Vince, in your opinion, what went right with Wrestlemania this year versus last year and the year prior? 
Vince McMahon:  It was a really better execution all the way around. I think that more promotion of talent, you know, we started the year out in Venice with our main event, I think from a more traditional standpoint, it was a broader base notwithstanding the overall promotion of Rock, you know, versus John coming back to WWE was – it gave us a great deal of spotlight on newer talent as well as more of our core audience that has left us as well. Not as much with Rock, but with an Undertaker, HHH type match, which was a co-main event. I think there was something for everybody there on Wrestlemania. It was much better executed than years past. 
Jamie Clements – Sidoti & Co. : Okay. If I could – George, if I could ask you a question. I think you all – you alluded to about 10 to $15 million this year incremental operating expenses related to the network and expanding the programming. $2 million roughly in SG&A in the first quarter. Are there additional costs in the segments during the first quarter that make that number higher than 2 million that kind of get you closer to that 10 to $15 million annual run rate, or is the SG&A number going to ramp too? 
George Barrios:  It will ramp a little in SG&A and there’s some cost embedded in segments but not much for the most part. But the 10 to 15 really comes from – and there’s a range for a couple of reasons. One is the pace of staffing, when that comes on. And second, depending on timing of launch, the marketing spend. So that’s why there’s a broad range there. 
Jamie Clements – Sidoti & Co. : Okay, fair. And all right, just as you look at just the overall kind of cash outflow related to the network, I mean, I’m just looking at the cash list in here. So the year-over-year difference in Cap-Ex and then the year-over-year inclusion of the outflow for television production assets, I mean, it would seem that about $7 million aggregate. Is that about the right number all in? 
George Barrios:  In Q1? 
Jamie Clements – Sidoti & Co. : Yes. 
George Barrios: Yes, about. 
Jamie Clements – Sidoti & Co. : Okay. I just wanted to make sure there was no other basket that I was missing there. 
George Barrios:  No. 
Jamie Clements – Sidoti & Co. : Okay. Great, thanks a lot for your time. 
George Barrios:  Thanks, Jamie. 
Operator:  Our next question comes from Michael Kupinski with Noble Financial. Please go ahead. Michael, you line is open. 
Michael Kupinski – Noble Financial: Yes, sorry about that. Just regarding the SG&A expenses following up on the previous question, is the company fully ramped up now on the infrastructure build and people and is that first quarter than a good run rate for the balance of the year? 
George Barrios:  Yes. There’s a couple of things going on in SG&A. We talked about the network and we talked about bad debt expense, which was unusually high because of two specific accounts – global accounts where we took a charge of 1.5 million roughly. So if you back that out, I think that’s a – we got about a 4% year-over-year increase excluding those two items. That number will go up a little bit, Mike, as we move through the quarter and higher more folks. 
Michael Kupinski – Noble Financial: Okay. And in terms of – it seems like the timeline for the cable network development has been a little slower than expected. I was just wondering where there any speed bumps here that – and if you can just identify what’s kind of holding up the distribution agreements and those things. 
Vince McMahon:  We’re continuing to develop a new strategy going forward. The initial strategy as well as other strategies, and we’re not too sure which one looks best. So it – the holdup is on our end, it’s not on the end of the distributors end. We’re still excited, actually more excited than we’ve ever been in terms of the potential of our network. So we’re shifting through that one on our end with better opportunities, lower costs as far as the network is concerned and we think we have the traditional model as well as other models going forward. The question is, as everyone tells me, you know, which is best. 
Michael Kupinski – Noble Financial: Vince, I was just wondering, can you expand a little bit on that because you know, originally I think the strategy was maybe looking at a partner and then it seemed like maybe the company was going to go at it alone, and then – what other types of opportunities are you looking at in terms of launching the network? 
Vince McMahon:  Well, again, we still want to go at this alone. We want to own 100% of it, which I think is extremely important. It’s the overall philosophy of WWE and it’s worked out well. It’s worked very well through the years. And control is extremely important. And what goes on the network and the lack of restrictions for us is extremely important. As you know, we know how to cure programming like no one else does. We know how to use or programming in many different ways and modify it and so forth without a great deal of expense. So our model is one in which will give us a lot more flexibility, which is extremely important to us and that’s one of the differences that we’re looking at. 
Michael Kupinski – Noble Financial: And if you could just roll out the timeline from here, would you – you know, maybe update – when do you think that you might announce a distribution partner and that sort of thing? 
Vince McMahon:  I would think that would be probably over the next three months or maybe even a little bit less. 
Michael Kupinski – Noble Financial: Okay. And do you have an idea, Vince, at this time, I mean, what we should expect in terms of maybe the number of subscribers that you might initially be able to achieve in terms of the distribution agreements? 
Vince McMahon:  If you’re looking at a linear network, that’s one number. If you’re looking at another form of network, that’s another number. I guess maybe it’s not so much a number of subscribers as it is the bottom line. 
Michael Kupinski – Noble Financial: Okay. And so you have certain profitability goals. I mean, in terms of this year, or are you just thinking in terms of how quickly you can ramp to profitability over the next couple years? 
Vince McMahon:  It’s looking at profitability over a couple of years, no doubt, but again, it will determine the number of out subs and in what form they take that will determine the profitability of it in our first year.
Michael Kupinski – Noble Financial: I see, and then in terms of looking at the prospects then, are there a certain number of subscribers you feel like you need to launch, in order to make that reach those profitability goals in that timeframe?
George Barrios: Hey, Mike, it’s George. We’re not going to talk about the sub numbers, though. Obviously, we’ve got a lot of different models that we’re evaluating. Our core metric is which one creates the longest and largest pool of shareholder value. But we’re not going to talk about specific subs in any one model today.
Michael Kupinski – Noble Financial: That’s fair enough. I appreciate it. Thanks for taking the question, guys.
Operator: Our next question comes from Robert Ralph from Savings Partners. Please go ahead.
Robert Ralph – Savings Partners: Yes, good morning, guys, just some quick questions. In respect to the network that you are creating, obviously you guys have a very big library. I wonder if you could update us on how many library hours you have now? I know you have all the rights to them. And what percentage of them have already been digitized, in the event you choose to go that route, rather than analog? Obviously, you’re adding to this library every week with your live programming. I’m just curious as to, when you do launch, what do you expect to have there?
George Borrios: Yes, we have about a 100,000-hour library. Over the last couple of years, we’ve digitized roughly 30,000 hours. And we’re using that as a core of programming for our network model and other potential opportunities. And as we said in last year’s financial statements, we have about a $3 million investment in taking content from that 27,000-hour library and creating new shows from that.
Michael Kupinski – Noble Financial: Okay, great, and then just one kind of capital structure question. Given the free cash flow you’re going to generate this year, even with all the new initiatives you’re doing and the current dividend and the yield that you have in place, which is over 6%, which is really high, and clearly, your stock’s undervalued based on all the fall relevant metrics, would the company at some point ever consider a buyback authorization? Is there a price at which you’ve been buying back a little stock with that free cash flow you have left over would make sense, or is that totally off the table?
George Barrios: You know, when we thought through our return of capital approach, we obviously evaluated the standards strategies, dividend policies, special dividends and buybacks and we came to the conclusion that we wanted to focus on dividend policy for a variety of reasons. One of the obvious minuses of a buyback for us is the relatively light slope that we have. So we came to that conclusion. We’ve talked before about where we think our payout ratios are, vis-à-vis, average free capital generation. We think they’re within a comparable range to wrestle companies that pay dividends up on the upper end of that range. So we’re comfortable there. So right now, we don’t really see buybacks as part of the return of capital strategy.
Michael Kupinski – Noble Financial: Okay, great, thank you very much.
Operator:  (Operator Instructions). There is a question from Brad Safalow from PAA Research. Please go ahead.
Brad Safalow – PAA Research: Alright, thanks for taking my questions. Just very quickly, I want to make sure I have this right in terms of your film slate for the next six to nine months - No Holds Barred, this summer; The Day, August; Barricade, September; No One Lives, January ‘13; Leprechaun, March ‘13; and the Marine Home Front, sometime in the spring of ’13. Is that correct?
George Barrios: Yes, that’s – and look, release dates can change on a variety of factors, but broadly, that’s a pretty good indication of where we are right now.
Brad Safalow – PAA Research: Okay, in terms of spend, you give us a full-year number, I guess, but you didn’t spend that much this quarter. Should we expect the rest of the spending to be kind of even over the remaining quarters of the year?
George Barrios: Yes, obviously that’s from a capital allocation standpoint. We set that $15 million to $25 million as the right amount this year. Part of that is determined by us; part of that is determined by our evaluation of the opportunities. So we still think the $15 million to $25 million is right, and we’re out there looking for the right opportunities in which to invest.
Brad Safalow – PAA Research: Okay, and then, just shifting gears to your relationship with Google, obviously you know that, in the press release, the revenue increase you saw, can you help us understand, I think you crossed 500,000 subs. How do you participate in growth of the popularity of the channel broadly? What sort of economic arrangement, do you participate upside in advertising? Or is it based on certain sub thresholds? Can you give us any idea how that works?
George Barrios: Yes, we’ve obviously had a very profitable relationship with YouTube over the years. I’ve mentioned before, in 2011, we did a billion video views. The economics around that is a rev share on advertising historically. The difference about the current deal we have is, as you know, that YouTube was public last year, saying that they were going to invest in original content, under a more, you could call it a traditional model of licensing that content. So that’s the current structure of the deal in which we provide these nine new, original shows, short-form shows. And the basic structure there is a license fee with upside on the advertising.
Brad Safalow – PAA Research: Okay, and then just, some of the content that you have, I don’t want to say on the bench, but for distributing, at least on WWE.com, Superstars, NXT - any changes to your plans with those, in terms of distribution?
George Barrios: Well, Superstars and NXT, in addition to WWE.com, which you referenced, is still being monetized to a pretty good rate internationally. What we’ve been public on regarding domestic monetization, is that we’re in the market with hours programming. And we hope to place that programming in the near future.
Vince McMahon: On traditional networks.
George Barrios: On traditional networks. That’s right. 
Brad Safalow – PAA Research: Okay, I’ll turn it over. Thank you.
Operator: You have no further questions at this time.
Michael Weitz: Well, thank you, everybody, for participating. We appreciate your support. If you have any questions, please reach out to us. You can reach me, Michael Weitz, at 203-352-8642. Thank you. 
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.